Anthony Moon: Good evening, good afternoon and good morning from wherever you’re calling, wherever that applies. My name is Anthony Moon. Again, I’d like to welcome you to LG Display’s Fourth Quarter Results Conference Call for 2010. Now, with me here is our IR staff as well as the new representatives from the TV Marketing and IT Marketing. With us is J.S. Park, who heads up the TV Marketing Department; and Seong Lee, who is now the Vice President of IT Marketing. As the operator just mentioned, before we go into the Q&A session, allow me to highlight some of the key points from our fourth quarter results and touch upon our outlook for the first quarter of 2011. If you move to the next page and look to disclaimer, I encourage you to take a few seconds to look over that page. I would like to remind everyone that the results are based on (inaudible) and the results placed in this presentation are still unaudited. Moving right along to slide number three, fourth quarter sales grew 10% year-on-year but fell 3% Q-on-Q as ASPs continued to decline in the fourth quarter. Looking at the two -- our two main products in the fourth quarter TV prices fell a bit more than IT. We -- in the fourth quarter, we registered an operating loss of 387 billion won as we recognized 238 billion in expenses from the EU fine in the fourth quarter. Without recognizing the fine our operating losses would have been a much lower 150 billion won. Now despite the losses recorded in the fourth quarter for the full year sales grew 20%, excuse me, 27% year-on-year to 25.5 trillion won and operating profit reached 1.3 trillion won up 30% year-on-year. For the full year this is achievable as we increased the proportion of our higher value add products such as AH-IPS panels and LED TVs throughout the year, plus the introduction of the super high resolution display for smartphones. Moving on to slide four, as of much, excuse me, as of the industry in 2010, we had 3.1 trillion won in cash and cash equivalents. Inventory declined to 2.2 trillion won, which is 11% fall from the previous quarter. Our current inventory situation I would describe as being very normal, somewhere between two to three weeks. While our debt levels have increased a bit, our net debt to equity is still a very manageable 14%. Moving onto slide five our cash flow. Cash flow from operating activities resulted in cash inflow of 1.7 trillion won. Cash flow from investing activities resulted in outflow of 2.1 trillion won, resulting in net cash outflow of 416 billion won. Now, note that our CapEx for the full year of 2010 amounted to 4.9 trillion won. Moving onto slide number six. Our panel shipments increased 10% while our overall ASP fell 10.7%. As I had mentioned a bit earlier, prices did fall slightly more than what we had expected with TV price – with TV panel prices falling a bit more than IT panels. Moving onto slide seven. If you look at our mix, you’ll see that the TV represented 56% of our total revenues followed by monitors at 19%, notebook PCs at 17%, and applications at 8%. So fall in TV portion is more due to the ASP decline than actual decline in upward products. The larger portion of notebook PC is the reflection of the rise in tablet PC panels for us. Applications, which is mostly mobile displays or handphone displays remained relatively high at 8%, as demand for the super high resolution panels from smartphone remained strong. Moving on to slide eight and looking at our capacity. Our input capacity remained relatively unchanged in the fourth quarter as we had very little – no new capacity coming on in the fourth quarter. Though a small incremental increase is from our P82 which as you know began to ramp earlier last year. Now, looking into this quarter, 2011 first quarter, we are expecting our shipment to decline in the high single-digit range sequentially, due mostly to the seasonality of our industry. We expect TV panel prices to decline a bit more but at a much decelerated space compared to fourth quarter. On the IT panel side, we actually believe panel prices will remain very, very stable in the first quarter. In the – within the whole full chain in the panels we see very little excess inventory throughout the full chain. Our set manufacturers continue to reduce their inventory of last year’s models and start to introduce new models later this quarter. We do expect demand to improve in the later parts of this quarter. We expect our CapEx in 2011 to have around 5 trillion won on a cash out basis that includes our investment in our third, excuse me, our fourth Gen 8 in our new P9 facility and there is some amount of AMOLED CapEx included as well. If I may make one comment, last year we expanded our market share and we were able to bring new differentiated products to the market, in particular our AH-IPS panel for -- panels for our tablets and other IT products. We also introduced a super high resolution IPS display for the smartphone market. And now we plan to expand on those differentiated products this year by introducing our new 3D TV, which we call internally FPR. FPR stands for Film Patterned Retarder. We basically put a film in front of the – in the panel to create the 3D imaging. Now in the market some will call our FPR 3D, cinema 3D, compatible 3D or true 3D. Whatever it is called we think it is the next generation of 3D displays to come out. And we have high hopes for this product to be very differentiating and capture a large market share within the 3D TV market demand. With that, I’ll end my summary of fourth quarter and outlook for first quarter, and be more than happy to take any questions you may have. Operator, if we can open it up for questions please.
Operator: (Operator Instruction) The first question will be presented by Mr. Brian White from Ticonderoga Securities. Please go ahead, sir.
Brian White – Ticonderoga Securities: Hi. Good evening. When we think about the outlook for the March quarter you’re saying total shipments down high single digits? How should we think about TVs versus IT?
Anthony Moon: We think TV shipments were fallen a bit more than IT. So when I say high single-digit of that, think of the -- much of that will be TVs.
Brian White – Ticonderoga Securities: So, we should think TVs will be down more than high single digits?
Anthony Moon: Yeah. That’s correct.
Brian White – Ticonderoga Securities: Okay. And in terms of the tablet market what are your expectations for tablet units in 2011 for your company?
Anthony Moon: I pass that on to Seong if I may.
Seong Lee: So your cases for the unit gross for the whole year or for the Q1.
Brian White – Ticonderoga Securities: Yeah. For the whole year for LG display?
Seong Lee: We are planning about five times gross in terms of unit for tablet, smartbook area, internally we call smartbook, but in the industry is called tablet, so we – expecting about...
Brian White – Ticonderoga Securities: And what did you ship, what did you ship in 2010. How many units?
Seong Lee: We are expecting – we are planning to ship around 80,000 – 80 million unit to PC makers and mobile makers.
Brian White – Ticonderoga Securities: Okay. That’s great. And then when we think about just the tone in the TV...
Seong Lee: I’m sorry; can I make a correction on that?
Brian White – Ticonderoga Securities: Sure.
Seong Lee: That’s our expectation for the overall market. That’s not just us. I think your question...
Brian White – Ticonderoga Securities: So the overall market, so how about LG Display?
Seong Lee: It’s difficult to give you our, because right now we really adjust to one real customer and we are expanding that, but because most of our parts go to one particular customer, it’s difficult to give you exact number, how much we plan to ship this year. I hope you understand.
Brian White – Ticonderoga Securities: Okay. No. I understand. That’s right. When we think about the tone in the TV, I just want to get the tone straight, because I’ve seen some articles out this morning and its saying like no immediate recovery, TV demand shrinking significantly. I just want to be clear, what we are seeing in the TV market? What was the sell-through for the holiday and what was the TV sell-in for the Chinese New Year so far?
Seong Lee: For Chinese New Year is in until next month...
Brian White – Ticonderoga Securities: Yeah.
Seong Lee: So, I would describe what they are build up to the Chinese New Year, compared to last year I think it’s a much -- I want to use the word reduced but not as aggressive as last year.
Brian White – Ticonderoga Securities: Okay. Yeah.
Seong Lee: And lot of the set manufacturers in other markets, they are still working through some LED inventory.
Brian White – Ticonderoga Securities: Okay.
Seong Lee: And the replenishment of old models to new models, I think will happen some time in the second half of this year.
Brian White – Ticonderoga Securities: And so, you’re just saying that they’re working through LED inventory because the holiday sell-through in the U.S. and Europe, and elsewhere wasn’t that strong, is that what you’re saying?
Seong Lee: Can you give me just a second?
Brian White – Ticonderoga Securities: Sure.
J.S. Park: This is J.S.
Brian White – Ticonderoga Securities: Yeah.
J.S. Park: The sell-through last Q4 was good, at least over there, I think, they are higher than our expectation and according to Gfk and MTD in North America’s Q4 growth rate was y-o-y base, are high-teen percent and Europe around middle to high percent. And now the inventories just from Q2 and Q3, Q2 was short and everyone want to purchase LED because they can sell and they want to sell more LED, but that impacted until Q4 and I think that there isn’t no big problem in LED inventory now.
Brian White – Ticonderoga Securities: Okay. So the sell-through you thought was okay or good and then they had too much inventory going into the holidays they’re going to work it down?
J.S. Park: Yeah.
Brian White – Ticonderoga Securities: Okay. Thank you.
Operator: The next question will be presented by Mr. Andrew Abrams from Avian Securities. Please go ahead, sir.
Andrew Abrams – Avian Securities: Just a little follow-up on what we’ve already talked about, just your general feeling on what’s going on in the industry, particularly in the TV space but not only in the TV space. Is the standard practice for you guys kind of to back away and the rest of the industry just to back away until after the Chinese New Year? And expectations kind of built in for things to get better, kind of into the second quarter timeframe or are you working that theory of a very specific customer requests that are timed that way?
Seong Lee: I think you answered the question yourself. It’s a combination of both. There is the combination of seasonality and then, lot of our customers their plan is to introduce their new models for this year some time later this quarter.
Andrew Abrams – Avian Securities: Okay. So the planning comes from the brand side and that’s relatively typical for brands in terms of timing. So this isn’t done unusual in the sense that anything has changed other than maybe relative to last year’s very strong period?
J.S. Park: Everybody -- this is J.S., everybody is very interested in Chinese market now.
Andrew Abrams – Avian Securities: Okay.
J.S. Park: According to ABCs, one of the most important famous Chinese Research Company, their expectation of this January and lunar year, the holiday in China, their forecast of this year, minus 9% y-o-y basis, so that actual result was 14 -- around 14% growth rate, it is a positive growth rate. So, we expect to at least to 1 million TV sets will be sold this new season. So, I think, most of Chinese filmmaker need more panel after new holiday season. So, we expect more volume from March for their second big season to May 1st. They are preparing from March and April.
Andrew Abrams – Avian Securities: And that panel demand, would that be new model panel demand or is that…
J.S. Park: That’s right. Yeah.
Andrew Abrams – Avian Securities: That would be new panel, right.
J.S. Park: Also our FPR…
Andrew Abrams – Avian Securities: Right. Okay.
J. S. Park: … demand is increasing.
Andrew Abrams – Avian Securities: And that’s particularly on the TV side that you are talking about, right?
J.S. Park: Yeah.
Andrew Abrams – Avian Securities: Okay. And on the IT side, other than the change in the mix between kind of 10 inch panels and maybe 15 or 16 inch panels. Is there any change in kind of a general tone of the IT market? Have you seen interest in orders picking up as we get through Chinese New Year or is it pretty typical seasonality?
Seong Lee: You know, [10-inch and larger] but the conventional size of the notebook, PC panel is in line with the normal conventional seasonality, but when it comes to 10-inch or smaller, such as 8.9, 9.4, 9.7, 10.11 categories. As you know very well currently demand for smartbook, tablet is dramatically increasing right now. And many makers are planning to rollout new model from February to April time zone. So we believe the panel for tablet, panel for smartbook will be very much increasing. But we don’t have normal conventional size such as 14, 15.6, that category will still remain solid in accordance to – accordance with the normal conventional seasonality.
Andrew Abrams – Avian Securities: So you would not expect the tablet business to decrease what would be considered your normal notebook size business, this is -- you expect that to be incremental?
Seong Lee: Yeah. That’s right.
Andrew Abrams – Avian Securities: Okay.
Seong Lee: Right now the most of the feedback from our customers, from the market is tablet is perceived as a second device in addition to normal conventional notebook.
Andrew Abrams – Avian Securities: Right.
Seong Lee: So there must be some cannibalization, but too much. We believe those two device notebook and tablet will remain as our complementary relationship.
Andrew Abrams – Avian Securities: Got it. And the decline that you’re looking for in square meter area in the first quarter, would you attribute some of that to the smaller size -- the volumes in smaller size panels meaning [94s and 97s] as oppose to larger panels or is that just built into your -- not part of your expectations for lower areas, square area?
Seong Lee: I think the over Q4 last year, current Q1 outlook in terms of the area base is really smaller than like the low one digit percentage of decrease. It’s very normal. It’s very seasonally adjusted to normal level. So it has no question with the unit base of the tablet increase. So I think everything seems okay.
Andrew Abrams – Avian Securities: Okay. Terrific. Well, thank you very much. I appreciate it.
Operator: The following questions will be presented by [Mr. Richard Klotz] from Moore Capital. Please go ahead, sir.
Richard Klotz – Moore Capital: Hi. Good evening. And I just wanted to understand, I think on your Korean conference call you talked about TV panel prices stabilizing and maybe recovering in February and March. And could you talk a little bit about how the inventory correction has impacted panel demand? And how that maybe comes back once as you said kind of LED inventory is cleared? How that impacts kind of panel demand coming to you as a panel maker?
Anthony Moon: Yeah. I think, I’ll touch upon this and I think J.S. has more to add. I think basically where we are seeing the market is, there are some still old models from last year that remains at I think some of the set manufacturers want to clear before they introduce new products. And then, in particular regions such as China after Chinese New Year, as a – assuming Chinese New Year sales is okay. Because again, inventory build for Chinese New Year, I don’t think is excessive, then China starts to rebuild for the May Day holiday, which is also very, very large and then they are coupled with new launch of new models from other set manufacturers trust or us in particular, our new FPR 3D products – TV. I think that’s what going to really drive us in the second half of this quarter four. Do you have anything to add J. S.?
J.S. Park: Okay. This is J. S. And for the inventory of TV panel is normal level, but LEDs around one, probably one to two weeks higher than normal and the Q4 last year. But lamp models are around one week slower than the normal. But lamp market is around 60%, 60% to 65%, so total inventory leverage, we don’t concern about inventory. And most of set makers reduced their purchasing especially LED and they are increasing there lamp purchasing now. So, from January and maybe February there is no additional or excessive LED inventory, and the panel and LED maker is – inventory average is high, stable and normal level.
Richard Klotz – Moore Capital: Can you kind of quantify the uptick, I mean, I think some people look at 2011 and say look TV growth is X, is like 12% and supply growth is 15%, 16%, so that means the over supply that given the inventory correction we had in the second half of last year, does that mean in terms of – on a quarter-on-quarter basis, if we look at kind of panel demand, it actually increases as we kind of get out of this inventory corrections and kind of go into Q2? I mean how much kind of panel demand increase can we see because I think we just look at kind of the TV side. What do you see as a panel maker?
Anthony Moon: Could you give me a second, please?
Richard Klotz – Moore Capital: Sure. I mean we’re looking at kind of end demand and we’re seeing kind of TV demand.
Anthony Moon: Right.
Richard Klotz – Moore Capital: And so when people look at 2011, they say TV demand is X and supply is a bit more.
Anthony Moon: Yeah.
Richard Klotz – Moore Capital: But given we have such a big inventory correction in the second half, as a panel maker what sort of uplift you’re going to get in panel demand once this inventory correction ends?
Anthony Moon: Good point. That’s very good question. We concur what you, I think we think that the overall LCD demand this year is probably mid-single, excuse me, mid-teens area this year as well. Now for throughout the year we think second quarter will be a little bit better, third quarter even better than second quarter, looking at the relative inventories and demand from our customers. To give you a degree of how much, right now, it’s a little difficult for us to gauge, but we do expect things to turn up. Now, you talked about demand increase and capacity increase, it’s true. Capacity is probably increasing somewhere between 15% – somewhere between 15%, 17%, somewhere in that area this year overall. But much like last year I think our industry both ourselves, our competitors will try to maintain utilization to regain some balance in supply demand.
Richard Klotz – Moore Capital: But I’m just thinking on a quarter-on-quarter basis supply is kind of fixed and you kind of adjust the utilization in terms of kind of the inventory correction and then maybe inventory correction stopping, your panel demand will actually increase quite a bit if your customers stop drawing down inventory…
Anthony Moon: That is correct.
Richard Klotz – Moore Capital: … so on a quarter-on-quarter basis maybe TV only grows 5%, then your panel demand will actually grow 10% or 15%...
Anthony Moon: Because.
Richard Klotz – Moore Capital: So within that, is that how we should look at Q2?
Anthony Moon: I think Q2’s demand will grow, because I’ll just explain more due to I think it’s compared last year and this year. Last year growth rate was around 40% in terms of within worldwide, but except Japan around 25 – middle 20s, around 25%. Because of Japan’s government’s subsidiary program occupying, in Japan total LCD TV margins around 10 to 11 every year. The last year’s demand was 25 million and we expect to have over 50% down. So that impact a lot last year and this year. So including Japan already we explained low teens, but excluding Japan we expect around 20% growth raise, 20% growth raise is still quite huge. And I already mentioned same makers are souring our inventory from Q3 and Q4. So they are quite conservative to purchase added panel right now. But they need – they want more [large] panel now. So we feel a little show easy in left. So after clearing their current inventory especially IOE set inventory they start to purchase again and I expect that time is March and April.
Richard Klotz – Moore Capital: Okay.
Anthony Moon: So we – Q2.
Richard Klotz – Moore Capital: And just as the final question. Your P9 investment I think in the past you’ve got some prepayments to fund in a kind of new technology investments of particular customers, did you get any prepayment to fund this investment given its particular technology as and as the tablets only did you get any help with the funding for that capacity?
Anthony Moon: No. This is all total loss, total loss.
Richard Klotz – Moore Capital: Okay. Thank you.
Anthony Moon: Thank you.
Operator: The following questions will be presented by Mr. Olga Levinzon from Barclays Capital. Please go ahead, sir.
Olga Levinzon – Barclays Capital: Hi. Thank you for taking my question. My first question and it extends off of the last one, within your outlook for the high single-digit panels decline in 1Q, can you talk about which months do you expect sort of a stabilization in actual increase in demand both on the IT side and on the TV side and off of that, do you expect to have your internal orders of components whether its glass or LEDs pick up earlier than that or you want to minimize inventory time?
Anthony Moon: Olga, I think as J.S. mentioned on the TV front we’re expecting our demand to increase from March – from month of March at the latest April at the very latest. So our supply chain management we are building – we’ve also build that into our assumptions when we are procuring our components for that.
Olga Levinzon – Barclays Capital: Got it. And then in terms of the capacity as that you’re planning in light of the 5 trillion CapEx guide, can you talk about what you expect your capacity to be exiting the year for P8E and P9?
Seong Lee: All right. I just want to make a note, I forgot to say everybody, sorry, we changed the (inaudible) with Gen 8 fab. We’re calling our first Gen 8, P81 our previous one, P8E, P82 and our third one P8E+, which is the P83 to add more confusion to what’s already confused out there. Our target is to – as of right now, what I’m saying now can change depending on market situation. But we are looking to ramp our P8E sometime in the second quarter whether that’s early second quarter, or second half of second quarter, again depends on market condition. And the capacity of that is 68K. Now P9, I get confused with numbers again P98, because it’s in our P9 facility its Gen 8 that’s a 60,000K facility. It will be completed within the year as to the starting of that ramp very difficult to say right now. If everything turns out great, if market demand is lot better than what we expect, we’ll start ramping as soon as it’s completed. If market conditions are not the greatest, we will be very, very flexible much like when we ramped up our P82 last year, if you recall. We did delay. We did slow the ramp a bit because the market situation did not help us. So we’ll be very flexible on both of those.
Olga Levinzon – Barclays Capital: Got it. Thank you.
Operator: The following questions will be presented by Mr. Jeffrey Toder from RBS. Please go ahead, sir.
Jeffrey Toder – RBS: Hi. Good evening.
Anthony Moon: Good evening.
Jeffrey Toder – RBS: I have three questions. First, I understand that you have a fairly aggressive cost down targets for second quarter, excuse me, first quarter, which is high single-digit reduction in costs. Can you maybe talk a little bit about how you would achieve that?
Anthony Moon: Yeah. Before going to your other questions, I perhaps would like to answer that first.
Jeffrey Toder – RBS: Okay.
Anthony Moon: None of it is internal, if you exclude, if you exclude depreciation, you exclude labor, you exclude depreciation, we still have about 14 -- 13%, 14% what we call internally overhead cost, so its basically remains cost. And in there, we think there is a lot of room to lower that overhead cost in remaining portion. Also, when I – I don’t know, if I mentioned to you before, our business model, both M plus S, Module plus Set where we get together with the said manufacturer to introduce new products and by that, new business model, we’re also reducing cost and that we’ll have more and more of our products go out through that business model, so that will help us to reduce cost. Of course, there will be some portions of component cost reduction, we have been – built into our cost reduction as well, but as to say how much, what portion of the component cost reduction, its difficult for me to say here. Also, mind you with the LED TV, we are – more of our products have gone to this our new two bar model, so that will help us reduce cost as well.
Jeffrey Toder – RBS: Okay. Right. Yeah. Two bar models are in mass production. That’s correct. Can you explain a little bit more how the M plus S saves cost?
Anthony Moon: In the past, what we -- what happens usually is we’re set the panel to the set manufacturers. They put on all of their components, and we have all of our components in the backlit, PCB board that would have the other circuitry, other microchips for obvious. Now through M plus S, we put it all together, instead of having two chips we reduce it to one, instead of having three or four PCB boards we reduced them in one or two. And that allows us to some of our models to reduce cost anywhere from 5% to 10% and billion products on some of these models.
Jeffrey Toder – RBS: Okay. So it basically reduces the total number of -- it doesn’t reduce...
Anthony Moon: Right. Total number of components ...
Jeffrey Toder – RBS: Components per model.
Anthony Moon: Correct.
Jeffrey Toder – RBS: But it reduces the amounts of different types of inventories you might need to carry and you can get better cost...
Anthony Moon: No. Absolutely.
Jeffrey Toder – RBS: ...on that production.
Anthony Moon: There is also logistic cost savings, there is overhead cost savings, just give you a simple example when the panel reach our factory, it has to be inspected. When it goes into a sub-manufacturing process, it has to be inspected. We get rid of all that because we’re all together.
Jeffrey Toder – RBS: Okay.
Anthony Moon: So you carry less inventory, less overhead.
Jeffrey Toder – RBS: Okay. And going forward for the year, I mean, again great number or great guidance for the first quarter. I mean how should we look at the full year cost reduction?
Anthony Moon: Yeah. I think, our CFO mentioned as well, it’s difficult to say, but -- because we all have -- there’s lot of moving parts in there. But we always try to target somewhere in the mid single-digit area per quarter.
Jeffrey Toder – RBS: Okay. Mid single per quarter. Okay. Great. Second question…
Anthony Moon: I thought that was third question.
Jeffrey Toder – RBS: … you mentioned, excuse me.
Anthony Moon: I thought that was a third question. I am sorry, go ahead.
Jeffrey Toder – RBS: No, no. That was only the first question, we still got two to go, the second question is on tablets. You said your forecast was 80 million units for global – for global demand, how do you derive the forecast? What are the basic metrics that you look at to come up with that number?
Anthony Moon: We are talking to, I am sure someone would add on to – what I would say, we talk to our customers, we look at overall demands. Now you may think the number is bit high including all the different sizes that that you mentioned, not only 9.7, there is a increase in 7-inch market, we talked about 8.9-inch market. So there is a going to be a lot of different varieties coming out. I don’t know, do you have anything else to add some?
J.S. Park: I think, as you know, this is Stanley from IT Marketing. Tablet smartbook area is not the existing market, this is some creating market right. Unlike the other notebook conventional product, this is not just for hardware, it is going to be current new business model, including carrier service, hardware and also operating system such as Microsoft Windows, Google, Android and also (inaudible) OS operating system. So I think we are working with right now the leading operating system companies and also working with the set makers to how we can create, how we can expand this market. I think the 80 million is not a easy one. Its bit of challenging target, but by working with the other – our current partners, we believe this market can be creative as the – through the number that I just mentioned.
Jeffrey Toder – RBS: Okay. What share of this market are you targeting for this year?
J.S. Park: Somewhere between 50 million to 60 million, I believe, you think it is very challenging but, yeah, we are targeting a very aggressive number at this moment.
Jeffrey Toder – RBS: Okay.
Anthony Moon: What was the next question, please.
Jeffrey Toder – RBS: Okay. Last one just what are your plans on OLED and if you look at your CapEx budget how much of that is dedicated toward OLED this year?
Seong Lee: Our OLED strategy, again, I think, I’ll repeat it on small devices we’re planning to have the majority of our small device smartphones with AH-IPS. So we’re not going to be a huge player in the mobile smartphone market with AMOLED, we’ll be with AH-IPS definitely. Now we are preparing for the TV market. There is we are making some investments this year roughly, our total CapEx somewhere in the mid-teens area is where our OLED CapEx is this year in preparation for TV. Again, we think the TV – OLED TV market will start to take off in 2013 and in some -- in 2012 we probably need to build something very large in preparation for that market, but as of now not too much of CapEx into AMOLED.
Jeffrey Toder – RBS: Okay. So next year we should see a bigger number for OLED dedicated fab up in Korea is that fair?
Seong Lee: I can’t say for certain, but I would say that’s more likely than less likely. Okay, Jeff?
Jeffrey Toder – RBS: Great. Excellent. Thank you very much.
Seong Lee: Thank you. And that was more like 12 questions than three.
Operator: The following questions will be presented by Mr. WonJae Lee from Credit Suisse. Please go ahead, sir.
WonJae Lee – Credit Suisse: Hi. Good evening. Just a follow-up question on the CapEx breakdown you mentioned that will spend like mid teens on OLED, but of the 5 trillion won that you plan to spend in 2011. Can you give further breakdown how much is spend for P9 and maintenance and OLED?
Anthony Moon: I knew this question would come. P9 is about 28%, P8 is another 28% and maintenance CapEx the remaining 28. All set of those three evenly than the remaining is OLED that I mentioned.
WonJae Lee – Credit Suisse: Okay. There are no questions. Thank you.
Anthony Moon: Thanks.
Operator: The following questions will be presented by Mr. Ben Lu from Seligman Investments Securities. Please go ahead, sir.
Ben Lu – Seligman Investments Securities: Hi. Thank you for doing this call and taking my questions. Just as a quick housekeeping follow-up to that. OLED that is still on 4G right now.
Anthony Moon: That’s correct, 4.5, yeah.
Ben Lu – Seligman Investments Securities: Is it at full capacity yet?
Anthony Moon: No. Not yet. You mean full ramp you are talking about.
Ben Lu – Seligman Investments Securities: Yeah.
Anthony Moon: No, no, not yet, no yet. We’re still in the process. We just started at the beginning of the year, remember.
Ben Lu – Seligman Investments Securities: And remind me again, what is the full capacity, is it like 12k?
Anthony Moon: Its 4k now. It’s increasing to 12k by the end of the year.
Ben Lu – Seligman Investments Securities: And that’s what the capacity is or CapEx is for, right?
Anthony Moon: That plus preparation for TV a little bit this year.
Ben Lu – Seligman Investments Securities: Okay. Great. And remind us again, what is your guidance for Q1 utilization? I think in the three analyst meeting you had said...
Anthony Moon: Utilization?
Ben Lu – Seligman Investments Securities: It will be flat for Q1, but I just wanted to clarify?
Anthony Moon: Well, at this stage I would have to say we’ll probably hold it similar to Q4 where it was a high 80% per range.
Ben Lu – Seligman Investments Securities: Okay. So the input capacity – input utilization will be flat versus Q4?
Anthony Moon: Yeah. Listings really turn around. I would have to say, yeah.
Ben Lu – Seligman Investments Securities: So if you are assuming this down in Q1, your utilization is flat. Would that imply that your own inventory will increase in Q1?
Anthony Moon: No. That under, yeah, good question, Ben. Mind you, that’s on an anticipation that we start to see things, really start to recover from second half of this quarter.
Ben Lu – Seligman Investments Securities: Okay.
Anthony Moon: But you know, sometime in March the things have been, for example, some of our strategic products like our AH-IPS port tablet – tablet PCs and then our FPR on the TV side, the 3D TV, we’re seeing continued momentum on those products. So that anticipation we may need to build from inventory for strategic products by the end of the quarter. But again, I want to note if that doesn’t come around, we’ll have to adjust our utilization a bit more. We will be very, very flexible, much like we were in the fourth quarter -- in the first quarter.
Ben Lu – Seligman Investments Securities: Got it. Okay. And can you reminder us again what was LED mix in Q4 and will it decline in Q1 with more CCFL purchases?
Anthony Moon: I think, I think we were a little over 30% in the fourth quarter, I think it will be somewhere in mid 30% entire range and in the first quarter I think possibly.
Ben Lu – Seligman Investments Securities: And that’s even with greater CCFL purchases.
Anthony Moon: Let’s see but that’s I think what we can achieve.
Ben Lu – Seligman Investments Securities: Okay. And the other thing is on FPR, do you have any expectations what percent of your TV panels will be on FPR and wanted understand that a little bit more? There’s been some talks primarily from the Japanese that LG can’t 3D films still has a lot of yield issues and that there will be challenge to provide you with enough supply. Can you comment on that?
Anthony Moon: Very difficult for me to comment on that. I think that’s coming along very, very well. We are happy with their performance now and I think they are ramping their capacity. So, I think they will be – they will be able to meet our demand very well.
Ben Lu – Seligman Investments Securities: Okay.
Anthony Moon: Well, I’ll hand it over to J.S. to answer the 3D, FPR 3D. We think the 3D market this year will be – total 3D market this year will be about 15% of overall TV sold roughly and J.S. may correct me on that, because he probably has updated numbers. But I think we can get it – we’re targeting at least 50% of that market. J.S.
J.S. Park: There are lots of demand forecasts from research company and the LCD maker and set makers. Set makers target of this year is 3D, total number is around 50 million and panel makers also. And research company’s forecast of this year is around 15 to 20. Our forecast, around 40 million, so – but the research company’s forecast, they just think LCD type and LED type FPR, they don’t think on lamp type FPR. And also they think that the cost, material cost is quite high. But we think that because of lamp type and the low cost model in LED type of FPR, we think a 30 million is possible and our target for the total FPR portion in our total sales is around 20% to 25%.
Ben Lu – Seligman Investments Securities: Okay. Great. I was at the CS and I saw your FPR panels and I’ve got to say that I was really impressed by it.
Anthony Moon: Thank you.
Ben Lu – Seligman Investments Securities: And I kind of imagine that you would be able to price this at a premium. But I want to understand how you guys are willing to potentially sacrifice that price premium to try to open up the market a little bit more?
Anthony Moon: Yeah. All right. So J. S. just mentioned, because this is a new product and new technology, now without going into the segment with set manufactures and stepping on their toes. Because it’s a new product and new technology and we think that market will receive it very well. The one thing I will say I think it will be added to our margins they would I think this product will improve our overall profitability. Now, as we expand the market as J.S. just mentioned. FPR doesn’t have to be LED backlight, it can be lamp or it does have 240 hertz, it can be 120, it can even be 60 if people want it. So with FPR, the beauty of FPR for us – FPR 3D for us is that we can do the whole gamut of product -- market segment. High end, the main streaming and also later on to spend much more low end as well. So but at the beginning I have to say we will be positioned as the premium product very much so at the beginning.
Ben Lu – Seligman Investments Securities: Got it. And if I can ask one last question, Anthony, I think a previous caller earlier had – had laid down a scenario where Q2 let’s say TV demand, TV unit demands maybe up 5% and panel shipments might be up 10% on the assumption that.
Anthony Moon: Yeah.
Ben Lu – Seligman Investments Securities: TV set makers went through all the inventory. Is that my thinking on that my question is on Anthony I thought that would imply that TV set makers would want the inventory to go back to the historical normal levels but I want to ask you given all the challenges we’ve seen in the past few months, is there a kind of new level of normal inventory where even if they work down the inventory going forward it may not want to rebuild their inventory again?
Anthony Moon: That’s a very good question. I want to apologize to the earlier person and glad you asked that question because if didn’t I was going to mention that. Going back to that earlier question, there is a potential, I think, the earlier person was asking, based on what we expect for this year, can we have on a truly higher demand in a certain short-term period going from first Q to 2Q. And I think there can be, unless you see a scenario where the U.S. economy just drags on and on very, very slowly and there is no improvement then certain manufacturers may want to keep their inventories very low as of now. All indications are there looking to rebuild their inventory to back to normal levels towards the end of this quarter. J.S., would you agree?
J.S. Park: Yeah.
Ben Lu – Seligman Investments Securities: I guess, the question I wanted to ask was, what is normal? I guess, we can see in -- like you said clearly stronger demand if they want to bring it back to the old historical normal levels of four to six weeks, but may be they view three to five weeks as the new normal levels?
Anthony Moon: I’d mention it this way, six weeks is what we could consider no marking that’s what generally -- many of our set manufacturers not said, excuse me, distributor inventory. Now that six weeks depends on how much sell-through they are having. Remember if they are having 10 million sell-through then they will have six weeks to sell 10 million. If that falls to five million, they are going to have six weeks to carry 5 million. So if things start to recover, demand starts to recover, then you’ll see that inventory perhaps maintained at six weeks, but the absolute number is going to increase.
Ben Lu – Seligman Investments Securities: Got it. Okay.
Anthony Moon: Got it.
Ben Lu – Seligman Investments Securities: Thank you for clarifying.
Anthony Moon: Okay.
Operator: The following questions will be presented by Mr. Brian White from Ticonderoga Securities. Please go ahead, sir.
Brian White – Ticonderoga Securities: Yeah. Just a couple of clarifications. On the March quarter you said the TV market will be down more than the high single digits and notebooks will be down less. How should we think about tablets in the March quarter?
Anthony Moon: Sorry, you mean, when you mean March quarter you mean this quarter right?
Brian White – Ticonderoga Securities: It’s the March quarter, yeah.
Anthony Moon: Right. We can’t separate it out, but it’s going to be -- as Seong mentioned business of new product has continued to grow. It is -- from our expectation it’s growing quite significantly, to give you exact number is a little difficult but it is substantial, it is quite…
Brian White – Ticonderoga Securities: So it will grow substantially versus the fourth quarter? The first quarter will be…
Anthony Moon: Yeah. That’s true, yeah. We think, we believe so.
Brian White – Ticonderoga Securities: Okay. And I just want to be…
Anthony Moon: Products coming our.
Brian White – Ticonderoga Securities: I missed the utilization rate. Where were we exiting the December quarter and what was kind of the high and low point of utilization in the December quarter?
Anthony Moon: We, for the full quarter, in fact, let’s say the average for the first -- fourth quarter we were at high 80 percentile range. I would prefer not to give it on a monthly basis. I don’t want to get into that habit, the first quarter…
Brian White – Ticonderoga Securities: But where you, let me ask you this, where you lower than high 80 at some point in the quarter?
Anthony Moon: Yeah.
Brian White – Ticonderoga Securities: Okay. Yeah.
Anthony Moon: In the first quarter we plan to maintain that level right now as we – as the market we see right now I think it’s safe to keep it at that level.
Brian White – Ticonderoga Securities: Keep it at that level. And then as we -- just kind of big picture, as we see the TV market growth start to slow, I know display search has 13% growth and then we look at notebooks, PCs, we put in tablets and all the other consumer electronics, maybe you get the 14% growth in panel demand, right? And then we get kind of maybe an 8% decline, 2% per quarter in ASP, now you’re looking at kind of a 6% growth market and that probably decelerates in 2012. So how does LG Display turn in attractive growth rates in that type of environment, I mean, we are slowing right?
Anthony Moon: Right. If I may answer that question because last year our unit shipments grew a little over 30%, our revenues on a U.S. dollar basis also grew at that level. Now ASPs did decline absolutely, but in my earlier comments at the beginning I described, I talked about our mix change, moving up the value-add chain with new products. Last year we did it with AH-IPS panels for tablets, we did it with high resolution displays for mobile. This year we’re expanding that to on the TV side to the FPR 3D. There is going to be a continued mix change to higher value add.
Brian White – Ticonderoga Securities: Okay.
Anthony Moon: So I think this year we’ll be more -- we’ll be able to more than offset the ASP decline. That’s our target this year.
Brian White – Ticonderoga Securities: Okay. And just on the inventory in the March quarter, you did a good job in the December quarter and inventory went down nicely. Will that also decline in the March quarter your inventory?
Anthony Moon: Well, in number of day, again I have to go back to number of days, but I don’t think we’ll have a huge increase in the number of days because again that’s on the anticipation from March we do expect demand to increase. So we’re going to keep it at, right now our inventory levels are somewhere between two to three weeks, TV normal is three weeks, IT normal is two weeks. So we’re going to keep those levels. Depending on what demand is, then our absolute inventory could rise, but in terms of number of days we plan to keep it at those levels. I hope that answers your question.
Brian White – Ticonderoga Securities: Okay. Yeah. And just finally you got great cost down in March quarter, so how do we -- if we look at the components we should think kind of a mid single-digit decline for the component cost down in the March quarter?
Anthony Moon: Yeah. I think earlier person asked the similar question. Right now, I apologize, but to talk about components right now is very difficult for me, because there are so many things -- we have so many suppliers and their livelihood depends on what happens to us. So, again, I apologize, that part I have difficulty talking about.
Brian White – Ticonderoga Securities: Okay. But with this what I’m trying to get at, when do you -- when can LG Display return to a profit. That’s ultimately what we are looking for?
Anthony Moon: Good question. We rarely very, very rarely give earnings guidance. But what I can say is we are expecting our profitability or the losses from fourth quarter and the first quarter to reduce significantly.
Brian White – Ticonderoga Securities: And but part of it’s, just to be clear, you’re talking operating loss of 150 billion or total loss?
Anthony Moon: At the operating level.
Brian White – Ticonderoga Securities: At the operating level, so you could be profitable in the June quarter it’s not a crazy statement to make?
Anthony Moon: June quarter?
Brian White – Ticonderoga Securities: Yeah.
Anthony Moon: I hope so, Q2 absolutely.
Brian White – Ticonderoga Securities: Could you be profitable in the March quarter?
Anthony Moon: Again you’re asking me for earnings guidance and I don’t do that, sorry.
Brian White – Ticonderoga Securities: All right. Thank you.
Operator: The following questions will be presented by Mr. Andrew Abrams from Avian Securities. Please go ahead, sir.
Andrew Abrams – Avian Securities: Just one clarification question, you were talking about the P9 Gen 8 construction and did you say that construction would be completed this year?
Anthony Moon: That’s correct.
Andrew Abrams – Avian Securities: Okay. And so your option on startup is some time in 2011 potentially although depending on what you see in the market you could push that through to 2012?
Anthony Moon: 2000, yeah, 2012, yeah, sorry I got those years mixed up for a second, yeah, that’s correct.
Andrew Abrams – Avian Securities: And what would -- given the way the construction is going what would be the earliest you could start that facility up if you sold those out...
Anthony Moon: Earliest…
Andrew Abrams – Avian Securities: Yeah.
Anthony Moon: The earliest. Some time -- if we really, really pushed at put the metal -- pedal to the metal maybe early fourth quarter maybe.
Andrew Abrams – Avian Securities: First quarter of this year we’re talking about?
Anthony Moon: No. First part of fourth quarter.
Andrew Abrams – Avian Securities: Okay. Got you. Fourth quarter, okay. Got it. And just a little more on the LED side. In the cost savings that come from going from 4 bar to 2 bar, have you build into that both the cost savings from the reduced number of bars and the components associated with that? Or is there a substantial difference in the price that the component parts, meaning the LED side of it would be. Is it all coming from just the reduced bar count or is it coming from both the bar count and the cost of the LED?
Anthony Moon: Yeah. Again you ask the question about components, which is very difficult. But I’d say is while the number of chips, absolute LED chips that go in reduces the die gets larger. So don’t take the same equation going from 4 bars to 2 bars you get a 50% reduction in absolute cost on the LED side, that’s not the case because the die does get larger. So into our model, our profitability model for LED TV is going, when this model comes out, there is certain component reduction calculated into it and also some -- cost or price concessions we’ve also modeled into it but I won’t go into the price concession unfortunately.
Andrew Abrams – Avian Securities: Got it. And so essentially what you’re saying is that the output of the individual LEDs needs to go up to compensate for the lack of the other two bars.
Anthony Moon: Correct, correct.
Andrew Abrams – Avian Securities: Does the diffuser change at all because of the fact that you’re only using 2 bars or does that stay roughly the same?
Anthony Moon: I’ll have to get back to you on that, I apologize.
Andrew Abrams – Avian Securities: Okay. No problem. Thank you for the clarification.
Anthony Moon: Okay.
Operator: The following questions will be presented by [Mr. Richard Klotz] from Moore Capital. Please go ahead, sir.
Richard Klotz – Moore Capital: Hi. Yeah. Sorry, just to clarify, you just said on Q1 that you think the operating profit should -- well, the operating loss should improve significantly. Is that kind of the core operating profit if you exclude the EU fine from Q4, you think that your kind of core operating profitability can kind of improve from the loss we saw in Q4?
Anthony Moon: Yeah, yeah. That’s not including the EU fine, yeah. That’s our expectation.
Richard Klotz – Moore Capital: Okay. So taking the one-off out you think that you’ll improve …
Anthony Moon: Yeah. Well, we hope that’s the plan, yeah, that’s the internal plan.
Richard Klotz – Moore Capital: Okay. Perfect. Thank you for the clarification.
Operator: Currently, there are no participants with questions. (Operator Instructions).
Anthony Moon: Operator, if there is no further question perhaps we could end the conference call now?
Operator: Yeah. You can wrap up the conference call.
Anthony Moon: I’d like to thank everybody for participating in our conference call on the results. If there is any of your questions that we failed to answer or did not answer -- the answer was not sufficient enough for you, please don’t hesitate to contact our IR Department. The next couple of weeks we will be on the road. We hope to see most of you during the MDR, please contact the relevant brokers if you would like to arrange a meeting. I hope to see you very soon and again, thank you for participating.